Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Manchester United, first-quarter 2014 earnings conference call. (Operator Instructions) I would like to remind everyone that this conference call is being recorded. Before we begin, we would like to inform everyone that this conference call will include estimates and forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from these statements. Any such estimates or forward-looking statements should be considered in conjunction with the cautionary note in our earnings release regarding forward-looking statements and risk factor discussions in our filings with the SEC. Manchester United plc assumes no obligation to update any of the estimates or forward-looking statements. I would now like to turn the conference over to Ed Woodward, Executive Vice Chairman of Manchester United. Please go ahead, sir.
Ed Woodward: Thank you, operator, and thank you, everyone, for joining us today. With me on the call are Michael Bolingbroke, our COO; Hemen Tseayo, Head of Corporate Finance; and Samantha Stewart, Head of Investor Relations. I'll begin the call with a few highlights from the quarter and comments on recent trends before turning the call over to Michael. We generated record first-quarter revenues and EBITDA, driven by continued growth in our commercial business, coupled with higher broadcasting revenues from the new Premier League rights agreements. The Premier League has now finalized the side of the international television rights for the three seasons to 2016, commencing with the current 2013/2014 season. We believe that, in aggregate, the value of the domestic and international broadcast rights will increase from approximately GBP3.5 billion for the three-year period to the 2013 season, to well over GBP5 billion for the next three-year cycle, ending with the 2015/2016 season. This demonstrates how the value of live sports programming has grown dramatically in recent years, primarily due to change in how television content is distributed and consumed. Let me give you some interesting statistics. It was announced last weekend the BT has won all live UK rights to the UEFA Champions League and Europa League. This is the first time a single UK broadcaster has won the exclusive live rights to all matches from both tournaments. BT has agreed to pay around GBP299 million a season for the rights, a significant increase from the previous Sky ITV deal. Now, moving over to discussing the Premier League, BT also said in their most recent earnings call that, to date, they have signed on more than 2 million customers for their new sports channels, reducing their churn to a five-year low and increasing their retail share at the net broadband market gross, their highest on record. In the US, John Miller, NBC Sports President of Programming, recently commented that the Premier League broadcasting was exceeding their expectations, and added that, “When the opportunity arises, we hope to make a solid presentation again, and hope the Premier League will look favorably on what we've done. There's no question in my mind that there will be a long line outside their doorstep.” According to the Nielsen stated media report for 2012, people aged between 18 and 49 watch nearly all of their sports TV programming live, compared to 85% for reality television and 75% for comedy programming, which again demonstrates the enduring value of sports to advertisers. So as we stated before, the value of content is rising. Sports is the must-have content, and football is the world's number one sport. Our Commercial business had another tremendous quarter, with revenues for this business up 39%. We announced several new deals, 12 in total, including -- on the global side, Aeroflot and Bulova were announced as our airline and timepiece partners, respectively. And regionally, new deals including Pepsi, Apollo Tyres, Federal Tyres, and Manda Fermentation have been signed. More recently, we announced a three-year deal with Unilever. This is the club's first official personal care and laundry partner in Southeast Asia. We are very excited about this partnership and, according to the regional president of Unilever, this is a groundbreaking partnership for them as this is the first time Unilever has undertaken a partnership of this scale in the region. On the pitch, the team is performing well and is undefeated over the last nine games. We remain the top of our group in the Champions League and are in the quarterfinals of the Capital One League Cup. On the player side, we extended Nani's contract recently and we've also agreed to a five-year professional contract with a highly rated 18-year-old player Adnan Januzaj. I will now turn the call over to Michael.
Michael Bolingbroke: Thank you, Ed. Hello, everyone. I'm going to review our results for the first three months of FY ‘14, which includes our tour, the summer transfer window, and, finally, the stars of the Premier League and Champions League seasons. And, as usual, unless I mention otherwise, all figures are in UK pounds sterling. Please bear in mind that our business is seasonal in nature and variances will occur on a quarter-by-quarter basis. We've announced our first-quarter 2014 results today, with revenue up 29.1%, to a first-quarter record of GBP98.5 million, and adjusted EBITDA up 36.2%, to GBP22.2 million, also a record for the first quarter and higher than consensus EBITDA. These results reflect the strength of our Commercial and Broadcasting businesses. Similar to what we did in our fourth quarter and the year-ended 2013 results, we have added figures for both adjusted net income and for adjusted EPS. As we believe in assessing the true comparative financial performance of the business, it is useful to strip out the distorting effects of material charges and credits unrelated to the underlying business. We then apply a normalized tax rate of 35% for both the current and prior periods. And we provide a reconciliation of this in the earnings release. Adjusted net income was GBP2.2 million, compared to an adjusted loss of GBP0.6 million in the first quarter of 2013, which highlights the improved underlying financial performance of our business. Now, I won't walk you through every line item, but I will just point out the items I believe are worth highlighting on the call. Our EBITDA margins improved 1.2%, due to strong growth in Commercial and Broadcasting. In the first quarter of 2013, our Commercial business represented 56.4% of our total revenues. It now stands at 68 -- sorry, 60.8%. Within the Commercial business, sponsorship revenue increased by a full 62.6%, to GBP45.2 million, due to new global and regional partnerships, and the renewal of existing partnerships at higher rates. We also had an extremely successful tour this the summer, contributing over double the revenue of last year's tour. Over 300,000 fans attended the tour games, an increase of 22% over the prior year, and the games were licensed to TV broadcasters in 139 territories, up from 119 territories the previous year. Merchandising apparel and product licensing revenue grew 13.8%, primarily due to the recognition of higher profit share from the Nike agreement. New media and mobile revenue decreased GBP1.8 million, as we continue working on our broader digital media strategy, which will include the launch of several new mobile- specific offerings including a club app, games, and other products. Broadcasting revenues were up 40.9%, largely on increased revenue from the Premier League, domestic and international rights agreements, which Ed mentioned earlier. We also had one additional live Premier League game this quarter and have benefited from increases in the merit share of the UEFA Champions League market pool distributions, as we finished first in the Premier League in season 2012/2013 compared to second in the 2011/2012 season. Matchday revenues were similar to the same quarter in the prior year, despite receiving one-off fees from the staging of football matches at Old Trafford as part of the Olympic Games in the first quarter of FY ‘13. So, the additional revenues in the first quarter of FY ‘14, came from the staging of the Capital One Cup third-round match at Old Trafford, which yielded higher revenues than the comparable fixture in the prior year; higher museum revenues; and revenues from a testimonial game. Operating expenses increased 20.6%, as this quarter includes the full impact of 2012 signings, contractual wage increases, and bonuses associated with the growth of our Commercial business. Whilst the first quarter last year benefited from a one-off receipt of GBP1.3 million in respect of players on international duty at Euro 2012. Overall, we generated an operating profit of GBP9.3 million in the year, an increase of 47.2% over the same period last year. We have a very detailed explanation of the changes in our financial charges in our release, and it's worth noting that, in late October, we entered into a floating-to-fixed interest rate swap on our $315.7 million secured-term loan, effectively creating a maximum and minimum interest rate of approximately 4.1% and 2.8%, respectively, subject to leverage grid, from November 25, 2013, for the remaining life of the facility. Based on our first-quarter results and current visibility, we remain confident that we will achieve our previously stated guidance for FY ‘14 of revenue between GBP420 million and GBP430 million and adjusted EBITDA of GBP128 million to GBP133 million. I will now turn the call back to Ed for closing comments.
Ed Woodward: Thanks, Michael. With that, I just want to reiterate that we remain confident in the potential of our different businesses. Our Commercial business continues to grow, and we see meaningful opportunities to expand in sponsorship, resale licensing, merchandising, and new media. Currently, we have just 15 global partners. And, on the regional side, we have deals in just seven categories, with each category in a maximum of nine countries. In summary, we have a long way to go, and we are excited about the opportunities this presents. As we mentioned, we believe Broadcasting is a powerful driver of growth as the market evolves and content values continue to appreciate. I imagine you are curious about the potential impact of the new BT deal on our Broadcasting revenues. That is a hard calculation, as it involves several assumptions including how the new deal breaks out, Champions League, and Europa Cup, as well as how much other broadcasters will pay across Europe. Assuming the BT's recent UK deal is the only increase among all European broadcasters, which we realize is a conservative assumption, the impact on the market pool portion of our numbers is low double-digit million sterling. On Nike, you may have seen several media articles with rumors of a new Nike deal. As we have said before, we will discuss Nike when we have news to share with you. We look forward to updating you on this exciting growth trajectory in future calls. And, with that, I will turn the call over to the operator for questions. Thank you.
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Michael Senno. Please, go ahead.
Michael Senno – Credit Suisse: Good morning. Just a brief question on the wage costs. I know you guys highlighted a couple of one-time issues. Last call, you mentioned mid-teens growth. Is that still the right way to think about the rest of the year when you exclude, sort of the comp issues and lapping some of the 2012 contracts?
Ed Woodward: In a word, yes.
Michael Senno – Credit Suisse: Okay. And then maybe just you've talked a lot about commercial and we know the mobile and media product is out there. Maybe for a second, if you can outline some of your strategic goals for this year and what we should be looking for, in general.
Ed Woodward: In terms of new media?
Michael Senno – Credit Suisse: Overall, I guess. I was – In general.
Ed Woodward: Overall goals for this year?
Michael Senno – Credit Suisse: Yes. For fiscal ‘14.
Ed Woodward: That's a very generic question. But with…
Michael Senno – Credit Suisse: Yes.
Ed Woodward: In terms of the sponsorship side of the business, that is a continuation of the strategy that's been developed over five or six years. We've talked about wanting to continue to growth out of Hong Kong. We've got the opportunities that we believe present themselves out of the US. And also, we are rolling out around the rest of the world a lot of the regional opportunities, given that we are now in the market with seven different categories. So, there are a lot of countries that we've already done in Asia, but we want to go and tack on countries around the world. If you look at retail and licensing, merchandising, obviously, there's work going on behind the scenes there, but also we will be doing a significant amount of desktop work as we prepare for rights coming back to us in the coming couple of years. That's a similar position, we really with regards to additional media strategy, where since the hire of David Sternberg, bringing in-house all of our production company MUTV, there's a lot of work going on behind the scenes here, both in terms of engaging the suppliers around putting in place the plans, and also investing in people, as well, as well as we grow the plans around content development. So, I think the general themes of what we're seeing in front of us. I don't know if I answered your question.
Michael Senno – Credit Suisse: Sure. Thank you.
Operator: Your next question comes from the line of Matthew Walker. Please, go ahead.
Matthew Walker – Nomura: Thank you very much, everybody. Just a couple of questions, please. The first is, could you see -- I know you've done some renewals and activation of new sponsorship. How fast do you think the sponsorship revenue can grow for the full year? Clearly, maybe we can't extrapolate the 62%, but what kind of figure do you think we can be thinking about? And second question is can you flesh out some more detail around new media and mobile, which is do you expect the mobile partnership revenue to be down for the full year? And, you mentioned some new products coming on the new media side for next year. Maybe could you say a little bit more about those? And the last question is, what kind of leverage structure are you comfortable with, say, for FY ’15? Thanks.
Michael Bolingbroke: Sorry. I will take the first question though, which is the one on sponsorship revenues. We don't normally break out our commercial revenues. So, I'm not going to answer that (inaudible).
Ed Woodward: But then on the new media questions, I think this is multiple questions. The mobile partnerships are down a little bit and given run rate where we are, could well be lower than last year. Again, if new deals come in, then obviously that will pick up. I'm not going to give you a weather forecast on that. We are in the market in various places and we will have to see, as the courses develop. On the digital media, I think I just mentioned on the previous call, sorry, on the previous question, with regard to where we are on the overall strategy there. We continue to track towards, as we guided earlier in this year, with regard to a calendar 2015 revenue impact. The final question on leverage structure, financially, at 2015, and again, we have said this on several previous calls. We are not going to guide around the target leverage level in the business. We are very comfortable with the level of debt on the business today.
Matthew Walker – Nomura: Okay. Thanks.
Operator: Your next question comes from the line of Randy Konik. Please, go ahead.
Randy Konik – Jefferies & Company: Hey, great. Thanks a lot. Just quick questions, you know, first, when you look all three years from now, what do think the commercial piece of the business will represent as a percent of total revenues? Related to that, what -- has the margin structure changed with the incremental sponsorships coming from that division to provide uplift in the EBITDA margin of the segment? Then, if we think about where the commercial is three years from now, what do think you think the margin structure of the Company looks like in total, on the EBITDA margin basis? Second, and a separate question, back to player wages. What do think is going on in the marketplace right now? Are you seeing more inflationary pressures or less inflationary pressures than you would have thought six to nine months ago on the wage cost front? Thanks.
Ed Woodward: Commercial we view as being the largest portion of our business for the next five to 10 years. In other words, once it grew to be larger than mass end media in recent years, it is still is going to continue to grow rapidly, and therefore become the biggest lift. I think it could well be 50% in a few years, but that really just depends on the whole roster of other assumptions around the rest of the business. It's difficult to say. We do still see huge opportunity on the commercial side. We aren't seeing great slowing down generally as we look at the overall picture. With regard to EBITDA margin, as a result of that, we still continue to expect margin expansion. I think we talked about expecting in a three to five year window having a full handle on the EBITDA margin. I still think that's reasonable. Although there is a question, obviously, which I'll come to relating to player wages because that's the hardest part of the business from a cost perspective to control. I think I just touched on the margin piece. Player wages, then. Yes, we are seeing inflation around it. We are also seeing, particularly within the Premier League, maybe a slowing down of the acceleration of player wage growth. That's, I think, (inaudible) fair player rules and the rules that have been put in place in the Premier League. But if you look at the top end of wages, look at the top 10 teams in Europe or the top players are however you want to break it down, we are seeing inflation at that top end. So, there's a bit of a mix going on and what we will represent to our numbers that we present is a blend of that over the next three to five years. So there's going to be a little two effects that are visible behind the numbers.
Randy Konik – Jefferies & Company: Got it. Thanks.
Operator: (Operator Instructions) Your next question comes from the line of Doug Mitchelson. Please, go ahead.
Brian Russo – Deutsche Bank: Hi. Thanks. This is Brian Russo for Doug. I have two questions. First one is, the quarter was well ahead of our expectations, particularly the sponsorship revenue. You haven't really changed your guidance for the year. Curious if this is just a measure of conservatism or is there something specific maybe in the remainder of the year that we should be mindful of? We assume you haven't changed your expectations for where the team will place this year in the Premier or Champions League. The second question was, you gave some color on what BT spent on the UEFA rights in the UK. But, I guess we are -- that was a pretty large step up compared to what we were expecting. Do you have a perspective on your expectations for the step up in the total rights package, perhaps? You know, what is the level you think that we should be thinking about for that? Maybe, when do think that we could get some clarity on the total rights package of that? Thanks.
Michael Bolingbroke: So, the first element of the question was related to the revenue step up. In particular, the sponsorship relevant on the commercial side. As I said, we are sticking with our guidance for the year, because that's where we think we will end up. I would just like to reiterate that in the first quarter, within our sponsorship line, that includes the tour, which obviously is a once in a year event, and those tour revenues were over double what they were in the prior year. So, that was a significant step up for us in that course. Obviously that's once in a quarter event. Our revenue figure we're sticking with the guidance we gave at the beginning of the fiscal year. The second question, I think I will just hand over to Ed.
Ed Woodward: On BT, just to be clear on this, a decent portion of how much we make from the Champions League is related to what stems from the market pool, which is effectively calculated through a pre-agreed formula, which involves looking at the ratio of the UK -- the value of the UK rights compared to the European rights. So, it's a percentage of the overall part. So, the more that the UK pays for those rights, the more flows back to the UK. That's why it's very positive for us and the other teams in the Premier League that get into the Champions League. The other piece, the fixed pool is made up of a number of things, including international, broadcast rights and also sponsorship deals for the seven partners that they sell on a multiyear basis. We don't have any guidance at all on that at this stage. I clearly would not be expect anything like the BT uplift across the sort of wider landscape. I think that's a very market specific move by a very serious player in a very specific market.
Brian Russo – Deutsche Bank: Do you think we could find out -- when do expect to hear, I guess, when these rights are completed? Is that something? The total package? Is that something that we would hear in this fiscal year?
Ed Woodward: I would've thought we'd have better guidance in this fiscal year. I'm not sure that we necessarily will know the numbers. It might be after this. As soon as we hear things, we will obviously update you on these calls.
Brian Russo – Deutsche Bank: Terrific. Thanks.
Operator: There are no further questions at this time. That does conclude our conference for today. Thank you for participating. You may now disconnect.